Operator: Good afternoon, everyone, and welcome to the webcast of ATEC's Fourth Quarter Financial Results. We would like to remind everyone that participants on the call will make forward-looking statements. These statements are based on current expectations and are subject to uncertainties that could cause actual results to differ materially. These uncertainties are detailed in documents filed regularly with the SEC. During this call, you may hear the company refer to non-GAAP or adjusted measures. Reconciliations of these measures to U.S. GAAP can be found in the supplemental financial tables included in today's press release, which identify and quantify all excluded items and provide management's view of why this information is useful to investors. Leading today's call will be ATEC's Chairman and CEO, Pat Miles and CFO, Todd Koning. Now, I will turn the call over to Pat Miles. Please go ahead.
Pat Miles: Thanks much, Audra, and welcome to the Q4 2024 financial results call. You will enjoy some forward-looking statements. Read them at your leisure. First, let me address Q4 2024 financial highlights. What you're seeing is perpetuating growth leadership. So, we grew at 28% total revenue growth in Q4, which is 4 times the market. So we're perpetuating that leadership. It's also nice to see that the profitability come in very strong. So, we're expanding profitability. So we finished Q4 at $21 million, which was up 1,050 basis points year-over-year, which means we're cash flowing. And so we cash flowed $9 million for the first quarter really since the transformation. And so, what we're enjoying is revenue growth, profitable leadership. And so, just love where we are and also love the growth profile forward. As we've talked about since the transformation, we're in this for the long haul. And I think the growth reflection from the clinical distinction has been robust. And we love to say around here that we're 8% market shareholders with 92% to go, but when you start to wonder, is the - are the numbers reflective of that commitment, you have to say yes. And total revenue CAGR over a five-year period has been 40%. Somebody likes what we're doing and it's created demand. So we believe that that robustness continues forward. 19% surgeon adoption on a five-year CAGR, 25% procedural volume on a five-year CAGR, and 10% of revenue per surgery on a five-year CAGR. And so, I think the foundational growth machine and the growth thesis is intact. The beauty about the growth thesis being intact is that the investment thesis is starting to provide powerful leverage, and that was by design. And so, we love seeing the type of leverage that's coming forth and us becoming a self-sustaining company. That's been that plan for some time and clearly it's coming to fruition and it will continue to be robust and it's a commitment that we are absolutely forthright about it and excited about. And so, as we look at the full year of 2024, we're back to the whole profitable growth commentary. We finished the year at $612 million, which is 27% revenue growth. Of the of the $612 million, the surgical revenue growth was 29%. 25% growth in established territories, and all that means is same-store sales. And when you start to see the expansion of same-store sales, you have to say, gosh, there's some acceptance of the clinical thesis that we're putting forward. 18% surgeon user growth, $31 million adjusted EBITDA, love to see the profitability coming in. First quarter of cash flowing since the transformation, said that, but it's worth repeating. We launched the EOS Insight software as well as there is a record EOS order book in dollars. So, there's a lot of enthusiasm with regard to what we're doing with EOS. It makes total sense clinically. Love to be participating in the second-largest market in the world, which is Japan. And so we did our first cases there and we hosted a Deformity Summit, which would be requisite of our commitment to the deformity space. And so I would tell you, I'm totally bullish on the route forward, thrilled about the year. And I'll turn it over to Todd to provide some additional color.
Todd Koning: Well, thank you, Pat, and good afternoon, everyone. I'll begin today with fourth quarter 2024 P&L highlights. Total revenue was $177 million, up 28% compared to the prior year and up 17% sequentially. The $177 million in revenue was comprised of $157 million in surgical revenue and $20 million of EOS revenue. Fourth quarter surgical revenue of $157 million grew 28% compared to the prior-year period. That represents $34 million of year-over-year growth, our largest dollar growth in a quarter ever. The improvement was fueled by procedural volume growth of 19% and average revenue per procedure growth of 7%. Our lateral franchise continues to be the primary driver of this growth. Seasonality contributed to fourth-quarter EOS revenue of $20 million, up 32% compared to last year. Demand for EOS is robust with record order volume in the quarter. That, along with the positive reception of EOS Insight, positions us well for strong system installations and the accompanied implant pull-through in the coming years. Now turning to the remainder of the P&L, fourth quarter non-GAAP gross margin was 70%, flat compared to the previous year. Non-GAAP R&D was $13 million and approximately 8% of sales. Top line growth drove 200 basis points of leverage, while we continue to invest in innovation at a level slightly higher than the 2023 on an absolute dollar basis. Non-GAAP SG&A was $105 million and approximately 60% of sales. Over half of the 800 basis points of year-over-year improvement came from infrastructure leverage with a balance from variable expense rates improvements. Included in this period's SG&A is a step-up in depreciation related to the purchase of instrument sets. As a percent of sales, depreciation increased about 50 basis points year-over-year. Excluding that impact, SG&A improved 850 basis points. We reported total non-GAAP operating expense of $119 million, which was approximately 67% of sales. In the fourth quarter, we took measures to improve our operational discipline, strategically realigning and reducing the organization and rigorously evaluating discretionary spend and investment dollar allocation. The increased operating discipline is beginning to add to what was already a powerful operating leverage opportunity and contributed to Q4, marking our first non-GAAP operating profit since the remake of the organization began. I'll turn next to adjusted EBITDA, which was positive for the third consecutive quarter. Fourth quarter adjusted EBITDA was $21 million, equating to a 12% margin and over 1,000 basis points of improvement compared to the prior-year period. The improvement in adjusted EBITDA margin was driven by 850 basis points of SG&A leverage and 200 basis points of R&D leverage and represents a very meaningful drop-through of the year-over-year growth in revenue dollars to adjusted EBITDA. You can see in the chart on this slide that the profit margin expansion that we are executing has been significant and consistent. Top line momentum, coupled with operational discipline, has resulted in a deliberate profitability improvement. That execution in conjunction with the cost optimization measures that we completed in the fourth quarter gives us confidence in our ability to deliver on our financial commitments and translate revenue growth into profit and cash flow. Turning to the balance sheet. We ended the fourth quarter with $139 million in cash, including approximately $50 million in proceeds related to the term loan expansion announced last quarter. Debt at face value was $590 million. We continue to evaluate alternatives for the $316 million convertible notes due August 2026 and expect continued financial execution to increase our options and the attractiveness of those options. We achieved a pivotal milestone in the fourth quarter. We generated free cash flow of $9 million. The primary contributors were strong adjusted EBITDA and our transition beyond the period of heavy investment in instruments and inventory that enabled us to onboard multiple sizable U.S. geographies over the last 18 months and positions us well to continue to invest in the sales channels. I'll turn next to full year 2024 results. Total revenue was $612 million, up 27% compared to the prior year. The $612 million in revenue was comprised of $545 million in surgical revenue and $67 million of EOS revenue. Surgical revenue grew 29% compared to 2023, driven by procedure volume growth of 19% and average revenue per procedure growth of 8%. EOS revenue was $67 million, up 13% year-over-year. Non-GAAP gross margin was 70%, up 40 basis points compared to the prior year. Non-GAAP R&D for the full year was $54 million and approximately 9% of sales, an improvement of 190 basis points compared to the prior year. Non-GAAP SG&A was $407 million and approximately 67% of sales, an improvement of 290 basis points compared to the prior year. Half of that improvement was driven by infrastructure leverage and the other half by variable expense rate improvement. 2024 adjusted EBITDA was $31 million and approximately 5% of sales, a year-over-year improvement of $40 million and 690 basis points compared to the 2023 results. Drop-through of incremental revenue dollars to adjusted EBITDA was 31% for the full year, up significantly from the 22% in 2023. We are demonstrating growth leadership and profit margin expansion while investing in the future growth of the business. Cash used in 2024 was $128 million in line with our expectations and an improvement of $31 million compared to 2023. Next, I'll provide detail on full year 2025 outlook. We expect adoption of our unique procedural approach to drive revenue growth of 20% to approximately $732 million, consistent with the outlook shared in our pre - in our January pre-announcement. That includes surgical revenue growth of 21% to approximately $657 million, which will be fueled by mid-teens surgical volume growth, and mid-single-digit revenue per surgery growth. We expect EOS revenue of approximately $75 million. The next slide provides context for the contributors of our surgical revenue growth. I'll begin with the procedural volume growth, which is driven by the impact of ATEC clinical distinction on surgeon adoption and utilization. You can see in the chart on the top left that surgeon adoption has been steady and strong, growing another 18% in 2024. Another consistent and recurring contributor to volume growth is surgeon utilization. The top middle chart depicts the steady ramp in utilization that each of our new surgeon cohorts has demonstrated over time. Our procedural solutions earn surgeon confidence. That creates loyalty and encourages surgeons to partner with us in more cases, including increasingly complex cases. Each new surgeon relationship that we develop typically unlocks a multi-year utilization growth opportunity as our penetration of their business grows. Average revenue per surgery increases as our mix shift towards procedures that require more products per surgery like PTP and LTP and towards surgeries with greater complexity, all of which feature higher revenue per procedure than overall average. Innovation is providing another tailwind. Our portfolio now features expandable implants and corpectomy implants, which along with an improving biologics attach rate are contributing to higher revenue per case. Turning to the outlook for full year 2025 adjusted EBITDA, we expect sales growth to continue to lever the infrastructure we have built, contributing to an adjusted EBITDA of $75 million. That implies a 37% drop-through of the incremental growth in revenue dollars, roughly in line with the drop-through that we delivered in the second half of 2024. The chart on the right depicts the deliberate nature and consistency of the profitability progress we are driving. Execution has been strong and the improved operating discipline of our organization as we exited 2024, positions us well to deliver on 2025 expectations and our long-range plan commitments, which include a 2027 adjusted EBITDA margin of 18% at $1 billion in revenue. So to recap our financial outlook for this year, we expect continued strong revenue growth to drive incremental profit margin expansion. That, along with the benefits of our 2024 investments in instruments and inventory, will fuel positive cash flow for the full year in 2025. That's a subtle, but important change relative to the previous outlook, which contemplated cash flow breakeven. The intent of the nuance is to be clear that we view zero as the floor to our expectations of cash flow. With respect to cadence, keep in mind that due to seasonality, Q1 has historically been the largest cash use period during the year. We expect cash use of $15 million to $20 million in the first quarter of 2025 with positive cash flow in quarters two through four. In conclusion, through our investments in the team and infrastructure, we have built a fast-growing spine-focused company. We are delivering a return on those investments through durable revenue growth and strong operating leverage, which resulted in an inflection to adjusted EBITDA profitability in 2024. There's a lot more to come. 2025 will see continued profitability improvement and mark another fiscal milestone, free cash flow generation, and the capacity to self-fund future growth. With that, I'll turn the call back over to Pat.
Pat Miles: Thanks much, Todd. Our strategy is clearly working. And I would say it's the consistent focus on our objectives that is reflecting that performance. I always love an objective and a reflective numeric of value. And so as we talked about, people are buying into what we're doing from a revenue perspective because we're creating clinical distinctions, which means surgery is better and outcomes are better, and that reflects in a 40% CAGR over a five-year period. We're clearly compelling surgeon adoption, which is a resulting in a 19% CAGR as talked about, and we're expanding and elevating our sales force, which is such a key part of this. And so, for those of you out there on the sales side listening, we are open for business and we continue to grow this this monster. And so, when we started the transformation, it was all about becoming the standard bear in spine. Our interest is always to revolutionize surgery by improving procedural durability and predictability. The one thing that we know is what plagues the durability and predictability of spine surgery is intraoperative and systemic variables. If you look to your left and we showed this graph before, knee surgery and hip surgery as proxies for revision rates, we are well beyond those in spine, which says to us there's ample opportunity to address these variables in ways that others haven't. And so, the way that we're going about that is really through informatics. Informatics is what's going to fuel durability and make our growth leadership sustainable. If you look at what we've done with regard to the construction of our spine procedures, our interoperative leadership, which has led to our growth is very apparent. And so, we're using things like SafeOp to understand exactly where nerves are and what their health is. We're using things like Valence to be precise intraoperatively. If the goals of surgery are decompression, stabilization and alignment, alignment is the last bastion that hasn't had an objective reflection. EOS is providing us that information that drives an objective reflection of alignment. And so from an interoperative perspective, we have an ecosystem that's reflective of the goals of surgery, in a way that no one else has. If we look forward to the future and we start to look at some of the systemic issues associated with controlling the variables that undermine the predictability of spine surgery, we think that EOS is such a core element. So what we're doing is, we will utilize EOS to understand what type of surgery to do. What type of - should the patient be intervened upon at all as well as what are the requirements operation to fulfill that surgery. And so, we feel like this is such a foundational element. If those companies don't have informatics that ultimately mitigate variables, they're going to be left behind in this realm. And so, our enthusiasm is to really continue to draft off all of the advantages of being 100% spine focused, who would have known that we're the largest pure-play spine company out there and I think that we're in the best position to ultimately move the field forward, which means mitigating the variables that undermine the durability of spine. So with that, we will go to questions.
Operator: [Operator Instructions] Our first question comes from Brooks O'Neil at Lake Street Capital Markets.
Brooks O'Neil: Good afternoon, guys. Congratulations on a terrific year. So, Pat, you highlighted ongoing industry disruption in the press release and we all know that Stryker's leaving and others are pursuing non-spine opportunities out there in the marketplace. What assurance can you give us that you're not going to elevate spending again in 2025 to take advantage of that disruption and that you are focused on the profit delivery that you guys talked about in your prepared remarks? Thanks a lot.
Pat Miles: Yes. Thanks, Brooks. The beauty of having a good plan is having this already conjured into it. And I think we got beat around a little bit for previous investments because we were so bullish on the dynamics of a disrupted marketplace. And so, I would tell you that a lot of the investments have been made and the contemplation with regard to expanding the sales force is part of our current effort. And so, I don't see there being unique outsized expense dynamics that ultimately undermine our kind of financial thesis. And we're just excited that more people don't know how to respond to the requirements of a field that we feel like we're experts in. And so, with that disruption, what we want to do is continue to kind of expound on our expertise, which is fine.
Brooks O'Neil: Great. It's a fertile environment. I'm excited for 2025. Thanks a lot for taking my question.
Pat Miles: Thanks, Brooks, and Amen.
Operator: We'll move next to Vik Chopra at Wells Fargo.
Vik Chopra: Hi, good afternoon and thanks for taking the questions. Two for me. So first one, one of your large competitors announced the sale of its U.S. spinal implants business recently. Do you expect any benefit from this from either a market share perspective or picking up additional sales reps? And then, I had a follow-up.
Pat Miles: Yes. I'll take the first one and Todd could pop on if I miss something, he's smarter. I think wherever there is disruption, there is opportunity. And so we're seeing it first-hand and candidly, we want to lean into it. I got to tell you, those who think that this environment hasn't progressed beyond plates and screws are kidding themselves. It's also gone beyond precision-only tools in the operating room. And so, why I think that we are so well-positioned is I think that our informatics platform is so unique. And I think when guys from Stryker start to look around and see what opportunities they have to be part of companies that ultimately invested in the future and in the requirements of the future, I think that they're going to look very favorably upon us. And so, what I would say is, I think it's a tough place to be in a private equity world whereby investments are difficult and the need for unique technologies that go beyond the operating room are required. And so, I love it and I think our chances are great.
Vik Chopra: Great. Thanks. And then my follow-up question was, Pat, we saw that in your press release, you said you entered Japan with your first surgery. Just maybe talk about your international plans for 2025 and what we can expect. Thank you.
Pat Miles: Yes. Thanks, Vik, for that question. It's one of those things that - Todd and I always laugh about kind of our original common ground. And when we are at a previous place that was purple, we overspent on the infrastructure associated with an international business that wasn't providing the growth or profitability that's necessary to self-sustain. And here, we committed to doing that. Japan is one of those markets that is candidly share so much with the States and with Australia. And so we're thrilled about being in those markets. It's also a market that really is arms wide open to progressive techniques like lateral. And so, we've really been disciplined and we have a guy who runs that business, Chris Lyons, that has been super disciplined, a super clinical guy about going in with regard to lateral surgery, establishing a relevant beachhead, and then expanding from that. And so I think we're doing it the right way. We're going to play long in that market. We have the right team on the ground. And so, we feel like if it's the second-biggest market, we better be serious about it and we better play long on it, not try to go in and reap a bunch of near-term victories, but let's play long and create the same growth sustainability that we've done here.
Operator: We'll go next to Josh Jennings at TD Cowen.
Eric Anderson: Hi. This is Eric on for Josh. Thank you for taking the question and congrats on another great quarter here. I was looking to just discuss PTP and LTP. Those offerings have been great growth drivers for ATEC over the past several quarters. I was just curious to hear what inning you think we're in with those launches? Are we still in the early phase there of their full potential? And is there any way to size up the penetration that those procedures should be honored within your target surgeon bases? Thank you.
Pat Miles: Yes. Thanks. And I'll do the first and I'll give the numeric reflection to Todd because I'll screw it up. We're in the super early innings, like - and the reason I say that is, I would tell you from a lateral perspective, we still have so much growth in the 4 to 1, meaning L4 to S1, meaning using the patient positioner to do a 5-1 ALIF and then 4, 5, and above from lateral. It's like it's growing and it's doing great and - but the market opportunity is much larger than what we're seeing reflected in the sales growth. And so, I think that clearly we're growing at a super high rate, but I'm still not seeing the volume of that surgery reflect in the number. As it relates to PTP, we are in the super early innings. If the beauty of PTP is it you have access to the front of the spine and the back of the spine at the same time. And so often people pick procedures based upon where the pathology resides. The flexibility associated with having the access to the front and the back avail so many more opportunities to intervene with a procedure like PTP, that has such a wide birth of reflected clinical value in multiple types of pathology. And so, again, I think we're in the super early innings. Whenever I see people do TLIF or CLIF or even ALIF at 4, 5, and above, it just speaks to the type of opportunity we have because the applicability of PTP is so relevant.
Todd Koning: And Eric, to give you a sense for the size of that market and how we see that, we have talked about the lateral market being about $1 billion in the U.S. and us having about 15% market share here in 2024. And so that tells you that we're not very penetrated in that market. And the opportunity here, as we've talked about as well, is there's $2 billion of traditional posterior approach surgery in CLIFT and TLIF that can ultimately be addressed through a lateral approach. And so, we think that market today at $1 billion can ultimately be $3 billion as we expand the utilization and broaden the adoption of lateral surgery. And so, we're very excited about where we are, but we're just getting started.
Eric Anderson: Understood. Appreciate all the color and thank you for the question.
Operator: We'll go next to Matthew O'Brien at Piper Sandler.
Phillip Dantoin: Hi, this is Phil on for Matt. Thanks for taking our questions and congrats on the really nice quarter and cash flow positivity. Just wanted to discuss the efficiencies that you targeted. You mentioned in your prepared remarks the efficiencies in SG&A that you found this quarter. Where were the savings found? Are these cuts fully realized at this point? And how might this program lead to maybe potential upside on the bottom line here in 2025?
Todd Koning: Yes. Thanks, Phil. I mean, we clearly took a very deliberate approach to reducing the size of the organization as well as taking a very thorough look at where all of our discretionary spend is and what our investments are and where they're going and really aligning them with our most highest priorities. And so, I would tell you that, clearly we benefited from some of that in the fourth quarter and that will continue throughout 2025 as we took some expense out-of-the organization or out-of-the cost profile, but the ongoing improvements in operational efficiency, as we look at operating better with the assets that we have, you think about all the instruments and the inventory that we've invested in over the last 18 months, we're getting better and more professional at effectively utilizing those assets to maximize their return. And so, it's beyond just kind of the P&L, it's also on the balance sheet as well. And my view is, as we continue to exercise this muscle, we'll get stronger and better at it. And so, I'm looking forward to seeing us to continue to improve in this area and believe that that's part of the reason why we've got confidence in our ability to meet our financial commitments here in 2025 and beyond.
Phillip Dantoin: Great. Thanks so much.
Operator: We'll take our next question from Matt Miksic at Barclays.
Matt Miksic: Great. Thanks so much for taking the question and congrats on a really strong finish. Maybe if you could talk a little bit about - sort of an update as to how the strategy that you put in place last year in terms of share capture and sort of maybe upgrading some of the regional field teams has kind of contributed to some of the strength exiting the year and sort of maybe some sense of what inning we're in terms of that pull-through into 2025? And I had one follow-up.
Pat Miles: Yes, Matt, I'll take the first. I think that we continue to get better. It's like - I think everybody appreciates it. I think building a large and adept sales force is - especially clinically-adept sales force is kind of the hard thing. And so - but it's like you better build a portfolio that inspires people. And then, when it inspires surgeons, then, you better have a sales force that ultimately reflects in the capability to drive the confidence of the surgeon to implement that procedure. And so, I think that we're a good ways into like that effort. The problem is, we still have big geographies that weren't somewhat irrelevant in. And so as an 8% market shareholder, we have such a long way to go. And - but the great part is, we're so validated in the same-store sales, you start to see the 25% growth in the same-store sales, I think the thesis is working clinically. I think the buy-in has been great. We just need more great people on the team from a sales perspective. And so, that's why we love the disruption in this space and we love the ecosystem that's been built because we think that that's reflective of the requirements of a long run. And so, I think the pieces are really kind of becoming in place. Now we just need a larger influence in the academic world, we need a larger influence in certain geographies, but we're getting there and it's kind of the step by step by step. And so, not that that gives you precise numeric reflection, but I think it gives you a little bit of color as it relates to where we are.
Todd Koning: And if I could just add maybe two points to that, one, the investments we made in instruments and inventory again over the last 18 months, I think, positions us very well to continue to grow and take advantage of that disruption. So, I think that is opportune. And then, if you look at the rate at which we exited 2024, I think we grew $34 million in surgical revenue growth year-over-year in the fourth quarter. That's the strongest absolute dollar growth that we've ever demonstrated, and I think that the amount of momentum in the business is strong.
Matt Miksic: That's super helpful. Thanks for the color. And then, maybe just one of the questions we get sometimes is, you've got a robot coming this year, don't have a robot right now in the lineup, but you - at least not in broad circulation, but still growing and taking share at a pretty, pretty great pace. And so, maybe you've got a pretty broad portfolio of what we call enabling technology. Maybe you could talk a little bit about how you feel like you're lining up competitively with the other players out there with robots, with imaging, and like how a robot this year and into next year could kind of enhance the - or sustain the growth rates that you're already putting up there? Thanks so much.
Pat Miles: Yes. Matt, I think that your commentary is such a great one. And if - I really tried to describe our view of the world as it relates to the controlling of interoperative variables and then the controlling of systemic variables. And when you start to think about why people have revisions in surgery, and we said it's 10% to 15% in short segment surgery within three years and it's north of 20% or 25% in deformity. And you start to say, is that because of guys missing screw placement? And it's not. And so if it was all about screw placement, then, the robot would have absolutely solved that issue. And I think another kind of interesting proxy is, you see Stryker's spin their spine division out, but they keep their robot. And so if they robot was the answer to all ills, then Stryker would have never rolled out their spine group because they would have seen the cash register ring every time that they could utilize the robot in one of these surgeries. And so, I think what's - like all things, I think the robot and navigation are part of the solution. And so, when we talk about mitigating interoperative variables, I think that that's part of it and I love that part. And ours is in evaluation, it's going as expected, we're excited to have navigation and robotics in the back half of this year, but the reality of it is that, I think there is also systemic element. And when you hear the guys talk about surgical planning, meaning, should we intervene at all? And if we are going to intervene, what procedure should we do? This is an environment that's so ripe for predictive analytics. And so, we think that the foundation of EOS provides us that opportunity where there is this constant feedback loop that accommodates the need for mitigating the systemic variables. The other thing I think people don't contemplate is the operational opportunities we have to ultimately further our plight with regard to narrowing configurations that go into support surgery. If we know exactly what the surgical plan is, our ability to spend less stuff, spend less on freight, spend less on instruments and inventory that go in to support these. And so, we feel like our line-up of technologies is reflective of a level of know-how in this business that's candidly unique to us. And so that's - not to be jerkish about our growth, but I think that's why you're seeing the type of impact that ATEC is having on this space. So anyway, sorry for the diatribe, but I just felt the need to no-
Matt Miksic: No, that is super helpful color. And then just one follow-up, if I could on sort of the opportunity that maybe the Stryker K2M transition could open up. You've got a pretty great position in academic centers around EOS. And sure, that's - we're not talking about necessarily picking off reps in a like-for-like kind of replacement, but the idea that there's a team that's important to the pediatric scoliosis center and academic centers that's in transition. Maybe talk a little bit about any opportunity that you see there to kind of lean-in in that situation, that would be super helpful. Thanks.
Pat Miles: Yes. Matt, again, I think you're exactly right. It's like we're an abject nobody in pediatric surgery at this point. And so, we have some great people around the company with regard to doing idiopathic and we have a small stature system. But it's like - kind of the interesting part of the EOS adventure has been that's been a tool that has been foundationally placed in pediatric hospitals. And so, what we had is we had a bunch of EOS in pediatric hospitals and we really had nothing to support them. I think that what we've done is over the last few years have committed to making sure that our product portfolio from a surgical perspective is reflective of the output because what happens is EOS informs what to do surgically, we want to make sure that we can fulfill that surgically. And so, I would tell you that we're in the very, very early innings of any reflected prowess in that space, but there's, again, huge interest. I think there's huge opportunity based upon having that foundational tool in EOS. And so, it's just another place where I would say that we're woefully underpenetrated and we have great opportunity to adjunct that to what the EOS value proposition has been. So, I think it's great point.
Operator: We'll take our next question from Caitlin Cronin at Canaccord Genuity.
Caitlin Cronin: Hi. Congrats on a great quarter and thanks for taking the questions. Just on EOS, so the guidance implies a pretty similar growth rate to 2024, but under what you guys did for the year. Do you expect at some point to see somewhat of an increase or inflection in the growth rate given EOS Insight or maybe the other enabling tech that you're bringing on and hopefully getting pull-through from?
Pat Miles: Yes. Let me start and I'm going to turn it over to Todd is, the ultimate answer is yes, and the challenge is one of timing. I think the reception of EOS Insight has been outstanding. It is the tip of the proverbial iceberg. The team here and in France that is most responsible for EOS Insight, we are in such the early phase of this. And so, I think that what's going to happen is it's going to be reflected in the kind of academic environment. More groups are providing us access to their data. You'll see it from the podium more. And so, I think that there's an undercurrent of momentum that's very, very exciting. The problem is, when you start to set out expectations for next year, it's like how do you value that? And so, that's where Todd jumps in.
Todd Koning: Yes. And I think to Pat's point, I think we feel comfortable with our $75 million guide. To put that in context, our long range plan assumes about $100 million of contribution from EOS in 2027. And so, if you kind of said, hey, straight line that between there and then you got $12.5 million of growth, which is a little bit north of what we've delivered. But I think to Pat's point, as EOS Insight gets more adoption, people start talking about it, people start seeing the value of it. Our expectation is that we'll continue to grow the interest and we'll see more placements over time and also begin to see the monetization of that really through more implant pull-through.
Caitlin Cronin: Awesome. Thanks so much.
Operator: We'll move next to Jason Wittes at ROTH.
Jason Wittes: Hi. Thanks for taking the question and congrats on a solid quarter and especially the cash flow, which looks very positive here. So, maybe if I could ask, you mentioned deformity, you hosted your first summit. In terms of what the product line is, I'd love to know what's available to - what you're presenting right now in these first summits. And kind of maybe if you could give the game plan for the next year in terms of what you might add to the portfolio in specifically addressing deformity would be very helpful. Thank you.
Pat Miles: Yes, Jason. I think deformity is always reflective of a maturing company. And the opportunity that we have in this space, I think, is tremendous. And so, when you start to look at what we have today, from an adult to deformity, we have everything that you need. And so, kind of the dichotomy of my previous commentary was more on the early onset scoliosis and the idiopathic. And so, when - our first Deformity Summit was really mostly focused on adult deformity. And when you start to think about the things that we have today, I think, EOS is such a foundational tool. And when you see the revision rates that you're talking about in adult deformity, I think, that there's so much gestalt in the adult deformity, the opportunity to ultimately garner analytics that ultimately say, hey, in this type of patient, this type of procedure is best and maybe going up this many levels is best. All that is gestalt today and there's no kind of clearly predictable algorithm to suggest as to what you do. And so - but from a product perspective, the product portfolio we have, we have EOS, we have InVictus, with all of the anterior columns that PTP is applied to adult deformity. We have osteotomy sets. We have things like SafeOp. One of the things I think that people overlook is the sophistication of SafeOp in deformity. When you start talking about rotational deformity, which is mostly more of an idiopathic disease, they use what's called MEPs, motor evoked potentials. We've gone to the distance of facilitated MEPs in a way that ultimately doesn't require the same volume of voltage, which means the patient doesn't jump. And so, the sophistication of assembling technologies to reflect specific types of pathologies has really served itself not just in PTP and LTP, but it will serve us in deformity as well. And so, we see these things as procedures and what we do is love enveloping technology in a way that ultimately reflects in greater predictability. And so, we think that the number of things that we can do within that space is significant. So hopefully that hit what you're asking for, but I…
Jason Wittes: But no, I think that gave a lot of insight and you did answer it. And maybe if I could just add to that, in terms of the doctors attending this summit that you're targeting, are these current ATEC users or is this a new set of doctors, or how do you see that targeting or progressing?
Pat Miles: Yes, that's a great question. It's both. And one of the really things that we're seeing come forth is the academic guys. And what makes that fun is these guys have big groups of residents and fellows. And so, literally on Friday and Saturday, we have a fellows deformity course. And so, we have like a who's who in deformity surgery that is facultying our course this weekend. And so, you'll see a ton of fellows come forth and get very familiar with EOS, they'll get very familiar with InVictus. Our screw system will get very familiar with our neurophysiology system. And so, just the opportunity to reach into some of these academic institutions and start to demonstrate the value of things that we have, we think, is very, very valuable. And so, it's been a kind of a great time to be relevant in a more academic environment such that what we're doing is seeing these guys come forth and become familiar with what we're doing.
Jason Wittes: Got it. Thanks. I'll jump back in queue. Thank you very much.
Pat Miles: Thanks.
Operator: Next, we'll go to David Saxon at Needham.
David Saxon: Oh, great. Good afternoon. Thanks for taking my questions and congrats on the quarter. I wanted to ask on international and apologies if this has already been asked, but Japan, my understanding is you're working with the major society over there. I think it's JSSR. And I think once you kind of get in there, you can see fairly rapid adoption. So I wanted to kind of hear where you are in terms of getting buy-in from that group, understanding you've kind of just done the first cases there, kind of how you're engaging them, how we should think about the ramp there? And then, the second part to the question is, it looks like international is about 8% of sales in the quarter. Wanted to just understand how much of that was EOS versus kind of what you're seeing in - I think it's Australia and New Zealand are your two major international markets at this point. Thanks so much.
Pat Miles: Yes, I'll pipe in on the color and I'll let Todd answer the numeric things. Japan's a great market. I would tell you that JSSR has been very welcoming to us and clearly to the facilitation of our local guys in Japan. We have a great team in Japan. And - but literally, we are in the - like, in the pre-game. We've done a bunch of surgery there, but nothing of sort that would reflect any type of meaningful momentum as of yet. But again, it's a market that is so substantial and so important to us that we want to play along in it. And so, I would say that we're in there. We have the right people around the business, the right surgeons are engaged. There's great enthusiasm that communicated directly from the surgeons who are kind of kicking the business off for us, but yes, we're bullish.
Todd Koning: And, David, just to put some brackets around the surgical revenue contribution for international, it's at between 1% and 2% of total revenues.
David Saxon: Okay. Great. Thanks so much.
Pat Miles: Thank you.
Operator: We'll go next to Kallum Titchmarsh at Morgan Stanley.
Kallum Titchmarsh: Thanks, guys, for taking the question. I'll ask the less exciting modeling one, but would just appreciate any color you can give us nearer term through Jan. and Feb. on how the business and broader spine market has been tracking, I guess, in light of those headlines that have been touched on already and whether you're just comfortable with where the Street sits today for Q1, I think that's about $168 million in revenue. I guess to that any revenue cadence assumptions we need to be factoring into our models that kind of differ from prior years? Thanks a lot.
Todd Koning: Yes, thanks, Kallum. I think we refrain from giving any intra-quarter commentary, but I would tell you that we exited with a very strong level of momentum. I think the commentary on where the Street is at in the first quarter, we feel reasonably comfortable with. I think you definitely do have some seasonality kind of going from Q4 to Q1, which would be the historical and I think the models have kind of captured that at that stage. So, we're reasonably comfortable with where the consensus is sitting today in terms of Q1 timing.
Kallum Titchmarsh: Thanks a lot.
Operator: And that concludes the question-and-answer session. I will now turn the call back over to Pat Miles for closing remarks.
Pat Miles: Yes. Thanks very much, Audra, and thanks everybody for your interest in ATEC. We are just getting started and excited about the spine market. Thanks very much.
Operator: This concludes today's webcast. Thank you for your participation. You may now disconnect.